Operator: Good morning. This is the conference operator. Welcome and thank you for joining the Saipem First Quarter 2023 Results Presentation. [Operator Instructions] At this time, I would like to turn the conference over to Mr. Alessandro Puliti, CEO and General Manager. Please go ahead, sir. 
Alessandro Puliti: Thank you and good morning and welcome to Saipem first quarter 2023 results presentation. I'm here with Paolo Calcagnini, our CFO and with the entire Saipem management team. I think with the financials I am pleased to report another quarter of strong delivery with our boost growth in revenues plus 22% year-on-year and even more in EBITDA at EUR 191 million or plus 66% year-on-year. Driven by our offshore businesses we then touched EBITDA margin of 7.4%. Financial net debt, pre-IFRS 16 was negative by EUR 45 million at the end of March. Or in other words, we have added EUR 45 million of net cash before lease abilities and this is substantially flat versus year end 2022. Net debt post-IFRS 16 amounted to EUR 285 million, very much in line with the year end of 2022. Finally order intake in this first quarter of the year was also robust, a EUR 2.7 billion, contributing to a book-to-bill of more than 1x. In a few words, the first quarter of 2023 was another quarter of delivery, progress and strong yearly growth in terms of revenues and margins. Before handing over to Paolo for the in depth review of financials, I would like to add the more comments on the commercial operational and financial achievements during this quarter. From a commercial standpoint, we keep the winning orders with the right mix. 66% of the total order intake in the quarter is in the offshore activities, the segment that historically ever recorded the highest margins. And the total awards around 20% is in the low or zero carbon activities in line with our commitment to energy transition. We are receiving quality new orders from national and international oil companies in our core geographic areas in countries. As far as operation are concerned we are progressing well on wind offshore projects. In particular, we recently completed the Seagreen project in Scotland, following the installation of the last of the 114 jackets with our flagship vessel Saipem 7000. And also the other projects in the backlog-review are progressing in line with our plan. This is very important because more progress on risky projects means less risk in their remaining backlog. Finally, the positive operating cash flow fully covered CapEx now withstanding the seasonality of the first quarter that has historically been absorbing cash. And now I will hand over to Paolo for a review of the financial results. 
Paolo Calcagnini: Thank you, Alessandro. Thanks everyone for joining the call today. Now before we go to the numbers, so just a quick reminder. And then in the following slides you will see for the first time the breakdown of the numbers according to the new reporting segments. And to allow an understanding of the new segments you will also find on the charts on the right hand side, the businesses that go under each of the new business segments. Starting from the consolidated results at Page 7, the revenues were up 42% year-on-year and then the margins were up by 66% year-on-year which leads to an EBITDA margin of 7.4% with an increased from there 6.3% of the first 3 months of 2022. The net result was finally at breakeven. This is obviously good news after being negative since the third quarter of 2019. Now there are a couple of messages to add to this chart. The first one is that the revenue increase has been consistent across all businesses. And we read it as a sign of a healthy operational performance and then as the delivery in terms of general environment. Second is that the EBITDA goes with the label adjusted but in fact in the first 3 months of 2023 we made no adjustments to the numbers because we didn't suffer any extraordinary costs related to COVID or other nonrecurring items. While in 2022 we had still roughly EUR 13 million of one-off nonrecurring extraordinary costs. So the EUR 191 million you see for the EBITDA is also the accounting figure while the EUR 115 million we're comparing the number to include the EUR 13 million adjustments because of COVID related costs. Now moving to the reporting segments at Page 8 of the presentation. And starting from the asset based services which aggregates the Offshore Engineering & Construction and Offshore Wind activities. You see revenues up almost 50% year-on-year to EUR 1.2 billion and margin up 80%, more than 80% actually year-on-year with the EBITDA margin getting close to 10%, and to be precise 9.8%. Now what you cannot see from the chart that I would like to share it with you is that revenues and margins grew consistently across all regions. And the margins come from a quite large number of projects, each accounting for a small number of the total which is a strong sign of the quality of the offshore portfolio in terms of diversification and a low concentration of margins and revenues. So this gives the results have been achieved. Notwithstanding the fact that we had parts of our fleet on going under scheduled maintenance activities, namely the Castorone and the FDS2 that were mostly not active during the first quarter, while we expect them to be back in full operation for the remaining part of the year. Moving to Offshore Drilling, you see a strong growth, both in terms of margins and revenues. The performance improvement come from a general increase of the market rate that we've been experienced since the beginning of the last year, and it keeps growing. And also because of the full operation of the Santorini reship that accounted only for a few days in the first quarter of 2022. And for the operations of the Perro Negro 8 that, as you may recall, was expected to work in Russia in 2022. But as you know, we have to change the vessel schedule. And it's finally this year, fully operational contributing to the increase in revenues and margins. For the remaining of the year, what we expect is that the daily rates will keep growing. And we also expect to have a few additions in our fleet, namely the Perro Negro 12 and Perro Negro 13 and the DVD, which will join the fleet and be fully in operations by the second half of 2023. Now moving to energy carriers. Energy carriers groups, the Onshore E&C, the sustainable infrastructure and the robotics and industrial solutions business lines. You see mixed numbers here because in terms of revenue growth, we recorded a 40% increase year-on-year, while margins remain below 1%. It doesn't come by surprise. The reason being that the backlog projects account for a significant share of the revenues. And this is obviously putting pressure on the margins as long as backlog-reviewed projects go with a 0% EBITDA margin. So they create revenues but not margins. As I said, it's not -- it doesn't come with surprise. The good news is that we are making progress on those projects. And there is still some work to be completed before we will start seeing healthy margins. And for the remaining of the year, we expect to keep progressing on the execution while margins will remain where you see them today in terms of EBITDA margin over revenues. Moving forward to the P&L. As already mentioned, the first message of these numbers is that there are no special items that we accounted for when adjusting the quarter results. So, in other words, the reported figures are perfectly equal to the adjusted figures for the first 3 months. While this is not the case in 2022, where we still had EUR 13 million of adjustments overall. And that is a particularly positive sign of the fact that the machine is operating full steam and without facing any special constraints related to the tail of the pandemic or other nonrecurring problems. The only additional comment on these figures is what goes below the EBITDA. We recorded financial expenses of EUR 52 million. It's an increase over the last year, but it's a significant decrease over the last quarter of 2022. In the first quarter, you may remember we signed 2 new credit facilities, which explain why the number is still higher than 2022. While in terms of equity investments, the result was close to 0 compared to a minus EUR 40 million, 1 year ago. The number 1 year ago was also impacted by the Russian crisis, which led us to make some write-offs on the projects in that specific country. Now moving to the net debt evolution and cash position at Page 12. To make a long story short, what's the story behind these numbers? Well, first, the net debt, both pre and post IFRS 16 is in line with year-end 2022. This is a very strong result in our view because the first quarter is typically a negative quarter cash-wise. And in fact, if you compare the cash generation for the past few years, it's been almost always consistently negative because of working capital dynamics and the physical progress of our backlog. While this year, the number is positive. And this is remarkable given the environment. Now focusing on the light blue shaded area, 2 comments on my side. First one is, if you sum up the first 2 buckets, the adjusted net results plus D&A and the delta working capital, you get a positive operating cash flow for more than EUR 100 million. And this is also a result which is, let me say, new to the company given the recent past performance and we take it as a very strong sign of delivery when it comes to generating cash. More important, it's the cloud that you see at Page 12 because delta working capital was positive for EUR 4 million, but we had more than EUR 120 million of cash outflows that are related to the execution of the backlog-review projects, which, as you may remember, were provision for that the cash out is happening mostly this year. So without the backlog-review, the working -- the delta working capital would have been positive for EUR 124 million. Notwithstanding the effects of the backlog-review, the operating cash flow covers the CapEx that we made in the first 3 months, which is my last comment on this chart. EUR 77 million is a very high number compared to the historical pace. And in other words, we made a big part of the investments anticipated in the first 3 quarters, while normally it happens later during the year. And despite this CapEx, the net debt remains at the same level where it was in December of 2022. Last chart, Page 13, before I hand over to our CEO. Debt maturities and cash position. Well, 2 comments on my side. The first one is that the available cash and cash equivalents is EUR 1.44 billion. This is an increase of more than EUR 90 million compared to December 2022. While the liquidity, which is in JVs or constraints, decreased from EUR 1.3 billion to EUR 1.1 billion, which is a sign of the quality -- increased quality of the liquidity we can rely on. And in addition to the EUR 1.44 billion of liquidity, the 2 new facilities that we signed in February 2023, that accounts for roughly EUR 860 million of additional available liquidity. So if you sum up all these numbers, you get an available cash, which is close to EUR 2.1 billion compared to the expected maturities of the debt for the next -- for the next almost 3 years that are close to EUR 1.4 billion. So we are sitting on a robust liquidity position. And we have already covered the debt maturities for the next at least 2 years, possibly even longer. I will now hand over to Sandro for a few comments on the commercial activity and backlog breakdown. 
Alessandro Puliti: Thank you, Paolo. Moving on to the business performances. The strong offshore market is generating the bulk of our order intake in this first quarter, further accelerating our strategic shift. In fact, 66% of the acquisition is in the offshore among Engineering and Construction and Drilling, which have historically been generating the highest margins for Saipem. We are receiving quality new orders from national and international oil companies in our core geographic areas and countries. Furthermore, we have recently acquired a 2-year extension of the contract for the 7-generation drillship, Santorini with Eni. This contract is worth more than $280 million. As you may recall, we purchased the Santorini drillship at the end of last year. This award will be accounted in the second quarter order intake. In addition, consistently with our strategic plan, we added a new work to the zero carbon order backlog, acquiring a new high-speed train contract in Italy, waiting for around 20% of the order intake in the quarter. Looking at the backlog, as you can see from the pie chart, it is still standing a remarkable EUR 24 billion. But more importantly, as I already commented in the previous slides, the shift towards the high-margin Offshore segment is very clear -- a very clear trend, fully in line with our strategy. By the way, let me flag out that our backlog has increased despite the disposal of the drilling onshore business. Our backlog is well diversified across geographies and the share of the low or zero carbon activities accounts today for around 8% of the E&C backlog, excluding drilling. This concludes our first quarter presentation. And now I will turn the floor to the operator to open the Q&A session. 
Operator: [Operator Instructions] The first question is from Alessandro Pozzi, Mediobanca 
Alessandro Pozzi: I think it's good to see another good quarter and a clean one plus. I have a few questions on the Onshore E&C. I think in your opening remarks, you mentioned that most of the revenues are 0 margin, and this is likely to stay like this for the rest of the year. Can you remind us how much as a percentage are those 0 margin revenues versus the total? And also, can you give us a sense of what could be the underlying performance of the Onshore E&C in terms of profitability once those 0 margin revenues basically taper off into 2024? And also, I think I've been noticing the order intake in Onshore E&C has been relatively limited in the recent quarters in a way. But this quarter, of course, there was the big infrastructure project. And I was wondering what is -- if you can give us an update on your commercial strategy when it comes to the Onshore E&C, whether you're focusing more on traditional projects? And also on the working capital, I was wondering whether it was linked to any project in the Onshore E&C, the reason that the working capital would have been materially positive ex the backlog review? That's all for me. 
Alessandro Puliti: Okay. So Paolo will provide you the answer on the Onshore E&C percentage of -- okay, of 0 margin project contribution and on the working capital. And at the end, I will comment on the strategy of the order intake from the onshore. 
Paolo Calcagnini: Thanks, Alessandro, for your questions. So the 0 margin projects accounted for close to 40% of the revenues for the E&C Onshore business in the first 3 months. And I guess that this figure explains a lot about the overall profitability of the business line. You may remember that the target we shared for the business plan is to get to a 2% EBITDA margin on overall in 2025, which means that basically, executing the backlog we have. And in addition, get new projects where the target is -- of profitability is still 1-digit, but let's say, high-end. And you see the 2% is a mix of the 0 on the remaining part of the backlog and the new acquisitions that are targeted to make a 1-digit high-end margin. And then you had a question on infrastructure projects. They accounted for a big part of the new acquisitions in the energy carriers segment in the first 3 months of the year, roughly EUR 0.5 billion. That's a business where we historically did well in terms of margins and cash profile of the portfolio. So we remain convinced that whenever we see opportunities on that segment it's something that Saipem need to capture because it contributes positively on the portfolio of the energy carrier segment. And I leave Sandro answering on the Onshore E&C strategy. 
Alessandro Puliti: Okay. As we anticipated in our conference call -- regarding previous conference call regarding our strategic plan, the acquisition for the anchor for our Onshore E&C activity will be concentrated on quality projects, mainly related to LNG activities and gas treatment plants and gas valorization plants. Those are the activities where we see that we can have a better value proposition for our clients, also considering that we want to leverage on our patents, especially in the sector of urea and ammonia in terms of gas valorization. So those are the area where we will be concentrating our order acquisition in the next months. 
Alessandro Pozzi: And just going back on the working capital. The reason why it would have been contributing positively to the cash flow, if it wasn't for the backlog-review, can you give us more color on that? 
Alessandro Puliti: Well, it's been actually a consistent performance across the business units. We are -- compared to the past, we are more focused on financial discipline, which means basically making clients as soon as we can and get them paid as soon as we can. And so you're seeing more color but they should show you the full list of working capital project by project with -- it will create confusion that clarity. It's been a -- you know that we have a portfolio of almost 100 projects, let's say, 70, 80 are the big ones. And most of them enjoyed a positive, let's say, a reduction in working capital regardless if it was already negative or positive. And that applies to almost the vast majority of the portfolio, but a couple of exemptions that where we contractually work with a positive working capital, it's something that we plan to manage as soon as possible. The other comment I can make is that the new acquisitions have a cash profile, which is such to guarantee not to have negative cash flows anytime during the project lifetime. That's the guideline that we gave ourselves and that our colleagues from the business and from the commercial department are following since, I would say, mid-2022. So the new acquisitions average profile, which is always positive during the life of the projects, also under stress scenarios. And the results of this discipline is paying off because if you remember also in the last quarter of 2022, we had a positive trend in the working capital, in other words, a reduction in the working capital of the group. So this is the second quarter in a row where the working capital shows a positive trend. Then the last comment is, it doesn't depend on advanced payments, while in fact, advanced payments remains unchanged or even slightly lower than they were 3 months back. 
Operator: The next question is from Mark Wilson with Jefferies. 
Mark Wilson: I'd like to ask regarding the -- you mentioned that the Castoro and FDS 2 were not working through Q1 or at least a portion of Q1, but they would for the rest of the year. Could I ask if there's any other vessels that require material maintenance in the rest of the year, either in Drilling or E&C? 
Alessandro Puliti: So yes, as you said rightly, Castorone and FDS 2, they were subject to the 5 years statutory maintenance activity. FDS 2 is back to work. And Castorone will be back to work in the next week. Another vessel that another -- the other vessel that has to enter into its 5-year recertification is the drilling semisub Scarabeo 9. 
Mark Wilson: And a follow-up question on the Drilling is, a very good contract for the Santorini. Commentary from some other offshore drillers has just been, I would say, a certain softening of day rate expectations. I was wondering if you could talk to that regarding the white space on the Offshore Drilling fleet, the new contracts for the future, how do you think the market is looking for that? 
Alessandro Puliti: The market is looking robust. Clearly, I cannot speak about precise daily rate on each contract because this is a sensitive matter with our clients. But what we see, we can confirm the increase in trend. And we can also confirm that we are expecting our drilling deepwater fleet fully booked for this year and the following years. Even the units that they don't have a firm contract they are subject to LOIs from our clients that was -- that I'm pretty confident that they will turn soon into firm contracts. We received multiple requests. And I repeat what I said in the previous call, if we were having an additional unit, certainly, we will have the work to -- for these additional units. 
Mark Wilson: And if I can ask one more. It is to -- tell us where we stand regarding Mozambique. You were very clear last quarter, a return to some work in July. But at the same time, there has been differing commentary, I would say, from contractor and yourselves regarding any contractual changes to that contract. Could you speak to where that stands at the moment? 
Alessandro Puliti: Okay. Certainly, as you can imagine, I cannot provide any precise date. But nevertheless, what we can say is that the security situation is improving. Mozambique LNG partners are working on the human rights. And for what regards to the cost, what we can say is that we are working with Mozambique LNG partners to define a mutually sustainable cost after the suspension period, and we are really actively working. So that's the situation. 
Operator: The next question is from Daniel Thomson with BNP Paribas Exane. 
Daniel Thomson: Yes, I'd just like to check in on where we are in terms of pricing in [SURF] and conventional work, perhaps especially where we are versus prior spending up cycles. And particularly in your conversations with clients, I mean, how far do you think contractors can potentially raise pricing from here before project owners begin to delay or cancel projects? And then my second question, I know it might be a little bit difficult, but one project in the Onshore E&C portfolio, the Thai clean fuels project, one of your consortium partners has recognized additional cost overruns on its own share of the project recently, which I think is of a similar size to your own scope. I wondered why we're not necessarily seeing the impact of that in your accounts? Or if we are ready because it's included in what you provisioned in the backlog review originally? So any color there would be helpful. 
Alessandro Puliti: Okay. Paolo will provide you... yes. 
Paolo Calcagnini: I'll start with your second question. So I guess you are requesting to the Thai Oil, you're referring to the Thai Oil projects. Now obviously, I cannot comment on other company's accounting policies. As far as Saipem is concerned, we didn't incur any additional losses in Q1 for that specific project, as long as the deterioration was already accounted for in 2022 in accordance with our economic and financial review of the project. So it's a big project. We know it very well. And then what was supposed to be provisioned for -- been already provisioned in 2022 at the best of our knowledge at the time. And your second question was on pricing and commercial perspective in general. And what we can show is that new acquisitions are made at margins that are significantly higher than the previous 3 to 4 years. And for sure, it's double digit on the offshore business. And it's a high-end 1-digit for the onshore business. And obviously, the pace at which the benefits of the new backlog kicks in, in terms of overall economics, depends on how fast we deliver on the backlog-reviewed portfolio, which brings down the profitability as long as they go with a 0 margin when we make revenues. And we didn't experience any cancellation, as far as I remember, in the last year or so. So, back to your question on cancellation by clients, it's a phenomenon that we have no evidence of... 
Daniel Thomson: Yes. I was just referring to from here and not related to you, but different projects, particularly in offshore, where we've seen costs creeping up. And I was just wondering what the project owner's stances around tolerating further increases in pricing from the contractors from here, particularly in offshore? 
Alessandro Puliti: Okay. What we see on the market is that clearly, there is a base cost increase that is due to the supply material. And the strategy that we are adopting with our client is more and more an open book style, letting the clients clearly understanding, which are the basis of our cost structure. And this is the key to work with them to achieve a mutually acceptable cost when you look at the side of the client and price when you see it from the side of the contractor of the projects we are carrying out. That's the strategy we are adopting. And we see that -- we then achieved a mutually agreed position with the clients. 
Operator: The next question is from Sasikanth Chilukuru with Morgan Stanley. 
Sasikanth Chilukuru: I had 3, please. I was just wondering, first one is with full year results, you had laid out specific 2023 guidance for revenues, EBITDA, CapEx, free cash flow and net debt. I was just wondering how your thought 1Q fed related to that guidance? And if there was any material deviation in any of those items? The second was also related to the outlook. Again, in February, you noted near-term opportunities of around EUR 51 million for the E&C market, noting growing project pipeline momentum that was weighted more towards the offshore. I was just wondering if you saw any change in the opportunities that -- or whether there's been any visible change in the momentum over the past few weeks? And finally, just a clarification on the financial expenses, which were high this quarter. I was just wondering if there was any one-off costs associated with the signing of the new [RCS] that would be helpful? 
Paolo Calcagnini: I'll take the question on the guidance and on the financial costs. Well, we have no reasons for reviewing the guidance today. And we think that the results we are achieving are consistent with the targets that we shared, if I remember correctly, less than 2 months ago. So we have no indication to change the target for 2020, '23. And on the financial charges, yes, there are some one-off charges that are related to the commissions that you normally pay for structuring and commitment from the banks. And as long as the [free] lines have been signed in February, those costs -- part of those costs remain on the first quarter. And they can be -- yes, you can refer to them as a one-off charges as the tail of the financial package that we set up after the first quarter of 2022 and that were fully delivered beginning of this year. And I think I kind of lost your second question on the -- okay. 
Alessandro Puliti: Okay. Thank you. Thank you, Paolo, and I'll answer to the offshore market and in the recent past weeks and whether we see some changes in the trend. To be honest, we do not record any changes on the trend of the offshore. We are keeping residing request to participate tenders. And we are also in the final stage of finalizing new acquisitions. So if the question -- if I understood correctly the question, whether we see any change or trend, the answer is negative. The trend continues. It's a positive trend. 
Operator: The next question is from James Thompson with JPMorgan. 
James Thompson: I'd actually like to come back just to answer that question on Sasi there actually in terms of the '23 guidance like that Sandra, Paolo just because obviously, your target set that EBITDA number around EUR 850 million for 2023. Q1, clearly a strong start to the year versus my expectations and consensus, particularly given just underlying operational performance comes to be pretty good. So I was wondering maybe could you sort of elaborate on your confidence perhaps in reaching that EUR 850 million number? I ask it, it'd be good to get some more color on the basis that consensus has been suddenly below that figure. What I see is around EUR 800 million for the year, which may be a little bit of a hangover from some of the operational difficulties of prior years. But after good performance, maybe you could just speak to your confidence, shall we say, in meeting that guidance, whether it be kind of margin expectations for the division for the remainder of the year or how we could to just get a bit more color from you on that, that would be great? 
Paolo Calcagnini: Yes. So, let's see it segment by segment because it makes it easier to understand why we are still convinced that the guidance that we shared 2 months ago remains valid. So, Drilling Offshore, let's start from the easy stuff. We feel that those margins -- the margins you experienced in the first quarter would may have remain at that level for the rest of the year, while revenues will increase because we are increasing the size of the fleet with commercial contracts already signed by our clients. So when it comes to drilling, you can take those numbers and multiply by 4 and then possibly add something on top. And that gives you a nice part of the total EBITDA for 2023. Then you have E&C Offshore and I used the old name, E&C Offshore and E&C Onshore. On E&C Onshore, the target for the entire business plan is 2%. We made 0.6% in the first quarter. It's a reasonable assumption to say that the profitability will remain close to that level, maybe something more, maybe something less, but it doesn't change the big picture. And on E&C Offshore, we shared the fact that the first quarter, even though it's a big increase compared to 2023, experienced some vessels idle for maintenance. And so the pace of the revenues may increase in the next 3 quarters while margins will remain close to the double-digit figure. If you sequence those numbers, you will get very close to the figure that we shared as a guidance for this year. And you know that in the E&C business, both Offshore and Onshore, the lifetime of the project is very long. So it's -- you hardly see major changes quarter-by-quarter. It tends to be relatively predictable if execution goes smoothly as it is going to date. 
James Thompson: I think we'll probably all be using the old divisional names for a little while yet. But secondly, a very, very minor point, but you guided previously to kind of step up in lease costs. What quarter should we expect that to come in when we think about the net debt piece? Is it second quarter when the deep value dealer comes in or...? 
Paolo Calcagnini: So can you please repeat, we lost the question, at least the last part? 
James Thompson: Just you guided to sort of EUR 500 million or so of IFRS 16 leases, but only EUR 330 million, EUR 340 million this quarter. The step-up comes which quarter this year? 
Paolo Calcagnini: Okay, I got it. I got it. We're going to have a new vessel entering the fleet by the end -- the last quarter of 2023. And when the vessel will be delivered and we will start the leasing contracts, you will see the leasing debt that accounts for the difference between the 300 and plus something end of this quarter and the projection for the -- for year-end. 
Operator: The next question is from Kevin Roger with Kepler Cheuvreux. 
Kevin Roger: The first one is just coming back on the Offshore Drilling segment, just to be sure that I understood what you said. So clearly, you have new vessels that would join the fleet in the coming quarters. So the top line will increase. But should we assume the margin to remain relatively stable for the coming quarters, so increasing top line plus margin stable? Just to be sure that I well understood the guidance for the Offshore Drilling. And the second one is coming back on the onshore business and notably the commercial opportunities and your new positioning with notably the objective to get LNG project. There are currently a lot of noise around the LNG opportunities. And so I was wondering if you can give us some color on which are the key projects that you are currently targeting for an award in 2023? And basically, which one will be the most likely on your side, you think, please? 
Paolo Calcagnini: Okay. I'll take the question on the Offshore Drilling and leave the onshore question to Alessandro. So, Offshore Drilling, yes, you can expect the margins to remain where they are today and the top line will increase because of new vessels entering the fleet, but the margins will remain where they are today. In fact, it's a bit more complicated than that because I mean some of the new assets will be jackups and the jackups are typically a bit less profitable in terms of EBITDA margin. So they tend to decrease the average margin of the portfolio, but at the same time, rates keep increasing. And so the combination of these 2 effects make us projecting a margin which is -- which will be close to the 40% where we are today. 
Kevin Roger: And sorry to follow up on that one directly, but because your vessels are currently engaged on a long-term contract, if you take, for example, the Saipem 12000, this is a contract that is lasting to 2025. Does it mean that you have a kind of escalation clauses that allows you to revise the rate, let's say, each quarter or something like that? 
Paolo Calcagnini: Yes, some of our contracts have escalation closes in the agreement. So even if the commitment is medium to long term, there are pricing review mechanism that will make room for possible further increases in market rates. 
Alessandro Puliti: Okay. Regarding opportunities in the -- commercial opportunities in the E&C Onshore activities, where really we are directing our attention is where there are clients requesting this kind of activities. And I will say that we are concentrating our attention in one peculiar geography, that is the Middle East where many of those projects are arising from the various to say, especially national oil companies. And so that's what we are -- that's what we are targeting. 
Kevin Roger: No, but I mean if we just focus on LNG, there are a number of opportunities you mentioned in... 
Alessandro Puliti: Yes, specifically on LNG, if you see what are the expectation, for example, in the United Arab Emirates, there are more than one opportunities that we can target for an LNG acquisition that they will come in the next months. Those are projects already announced by the companies, and we will participate to do those standards. Okay. 
Operator: The next question is from Massimo Bonisoli with Equita. 
Massimo Bonisoli: Three questions, very quick. The first, I really appreciate the absence of nonrecurring cost in Q1. Is it reasonable to assume that there will be no meaningful cost adjustments on EBITDA over the remaining part of the year? And the second question is on the balance sheet. Do you believe it could be reasonable to issue new bonds in 2023 following the maturity of existing lines? Or do you prefer to wait for a better rate going forward? And the third question, if you can remember as the remaining backlog-review affecting 2023? 
Paolo Calcagnini: So we don't expect major cost adjustments as far as we know today. If you remember what happened with the pandemic and it's not easy to foresee the future, especially if external events may materialize. But as far as we know today, no, there are not going to be adjustments apart possibly for some minor adjustments on extraordinary restructuring costs, but we're talking about possibly very small amounts. And yes, so nothing to mention today. On issuing new bonds, we are not in a pressure to issue debt, especially if that would cost 6, 6.5 wherever rates are today to the company, but we remain very tactical and opportunistic if markets will create opportunities. And if we will see opportunities to do a very early refinancing of the future maturities that we will take and push those opportunities. But as I said, we can easily leave for the remaining of this year, possibly part of the next year without asking new funds to the market. And your third question was just on backlog-review, yes? 
Massimo Bonisoli: On the remaining backlog-review, yes. 
Paolo Calcagnini: Yes. So as I said, we made EUR 120 million use of the backlog-review funds. We expect the numbers to be at least 3x by year-end. So we are planning to execute what to cover extra costs for the backlog-review for roughly EUR 300 million this year. And the pace at which we are delivering on those projects is consistent with the targets. 
Operator: Mr. Puliti, there are no more questions registered at this time. 
Alessandro Puliti: Okay. Thank you. I believe we can close the conference. 
Operator: Ladies and gentlemen, thank you for joining. The conference is now over, and you may disconnect your telephones.